Operator: Welcome to the MPLX Fourth Quarter 2025 Earnings Call. My name is Julie, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. Please note that this conference is being recorded. I will now turn the call over to Kristina Kazarian. Kristina, you may begin.
Kristina Kazarian: Welcome to MPLX's fourth quarter 2025 earnings conference call. The slides that accompany the call today can be found on our website at mplx.com under the Investor tab. Joining me on the call today are Maryann Mannen, President and CEO, Carl Hagedorn, CFO, and other members of the executive team. We invite you to read the safe harbor statements on Slide two. We will be making forward-looking statements today. Actual results may differ. Factors that could cause actual results to differ are included there as well as our filings with the SEC. As a reminder, in 2025, MPLX divested non-core gathering and processing assets, which had a $23 million year-over-year impact on our adjusted EBITDA within our natural gas and NGL services segment. Additional details on the impact of this divestiture can be found on Page 11 in our earnings release. With that, I will turn the call over to Maryann.
Maryann Mannen: Thanks, Kristina. Good morning, and thank you for joining our call. 2025 was a year of disciplined investment and strong returns. It was our fourth consecutive year achieving a mid-single-digit three-year adjusted EBITDA growth CAGR. Adjusted EBITDA reached just over $7 billion. The strength across our business gave us confidence to continue our history of returning meaningful capital to our unitholders. We increased our distribution by 12.5%, bringing total returns in 2025 to $4.4 billion. This decision reflects our commitment to return the value we create as we advance MPLX's growth strategy with our unitholders. Over the past year, we took meaningful steps to position MPLX for the next phase of growth. We deployed $5.5 billion to our natural gas and NGL value chains, primarily focused on the fastest-growing region in the country. We optimized our portfolio through divestitures of non-core assets, ensuring our future capital deployment is aligned with the strongest return opportunities as we build the infrastructure that will fuel tomorrow's energy needs. Together, these investments and portfolio actions create a more resilient and competitive MPLX, one that we believe can continue delivering growth capital to our unitholders while maintaining our strong track record of returning. Today, we announced our capital plan for 2026. We are planning to invest $2.4 billion as we execute on a robust pipeline of capital projects that support long-term structural growth. The long-term fundamentals for natural gas and NGL demand remain strong. In the U.S., natural gas demand is anticipated to grow over 15% through 2030, driven by the rapid expansion of LNG export capacity and rising power needs, particularly from data centers. We are also seeing higher gas-to-oil ratios across key shale basins as aging wells produce more associated gas per barrel of oil. This trend is increasing supplies of NGL-rich gas and under the strategic importance of our infrastructure in the Permian. Globally, petrochemical demand for ethane and propane are driving increased NGL exports, further reinforcing the strength of the long-term outlook. 90% of our growth capital will be directed towards our natural gas and NGL services segment, where we see some of the most compelling opportunities in the midstream sector. These projects are concentrated in the Permian and Marcellus, two of the most prolific and competitive basins in North America, and are expected to generate mid-teens returns when they come into service in 2028 and beyond. These investments reflect our confidence in the long-term fundamentals of the energy market and in MPLX's ability to continue capturing value as these opportunities unfold. Execution of our Permian NGL wellhead to water strategy continues to advance. We are integrating the sour gas treating operations we acquired last year into our existing gathering and processing footprint in the Delaware Basin. Titan treating complex construction continues and is progressing on time and on budget. By 2026, we expect to be treating more than 400 million cubic feet per day of sour gas. This sour gas complex enhances our treating and blending capabilities and provides an attractive solution for producers who are increasing activity in the low-cost sour gas window of the Delaware. Building on the downstream opportunities created by this platform, today, we announced Secretariat II, a new 300 million cubic feet per day processing plant. Expected to deliver mid-teens returns, the $320 million plant will be our eighth gas processing facility in the Delaware Basin and is expected online in 2028. Once in service, our total processing capacity in the basin will reach approximately 1.7 billion cubic feet per day. Further downstream, the Bengal pipeline expansion remains on schedule, with incremental capacity expected online in the fourth quarter of this year. Beyond BANGL, we are advancing construction of a 300,000 barrel per day of Gulf Coast fractionation capacity, as well as our 400,000 barrel per day LPG export terminal JV. Engineering and construction continue. We have secured key construction permits reflecting strong regulatory and stakeholder engagement. Site grading is near completion and is being executed with strong safety performance and responsible environmental stewardship. The LPG export terminal, expected online in 2028, will benefit from its advantaged proximity to open water, positioning us to serve growing global markets with greater efficiency. Elsewhere in the Permian, MPLX continues to invest in its integrated natural gas value chain. In November, MPLX, along with its JV partners, announced the expansion of the Eiger Express natural gas pipeline to 3.7 billion cubic feet per day. The expansion demonstrates the record demand for firm takeaway capacity we are seeing across the basin. Construction is also progressing on several long-haul JV pipeline systems. These investments are underpinned by commitments from the basin's leading producers and will enhance shippers' access to multiple premium markets along the Gulf Coast. In the Marcellus, our largest operating region, construction is advancing on the 300 million cubic feet per day Harmon Creek III gas processing and fractionation complex. Upon completion, expected in 2026, our Northeast processing capacity will reach 8.1 billion cubic feet per day and fractionation capacity of 800,000 barrels per day, positioning MPLX to serve growing Marcellus and Utica volumes. MPLX is also expanding its Marcellus gathering system to meet producer needs through a $450 million project, which will add compression support, well connections, and enhance MPLX's Majorsville gas processing complex. The project is expected to deliver mid-teens returns and enter service in 2028. Our capital deployment strategy positions MPLX for durable long-term growth. We are building the infrastructure system that will support rising North American future energy needs. From new treating and processing capacity to downstream fractionation, we plan to deliver on our commitment to create sustainable value for our unitholders. Now let me turn the call over to Carl to discuss our operational and financial results for the quarter.
Carl Hagedorn: Thanks, Maryann. Slide eight outlines the fourth quarter operational and financial performance highlights for our Crude Oil and Products and Logistics segment. Segment adjusted EBITDA increased $52 million compared to 2024. The increase was primarily driven by a $37 million from a revised FERC tariff issued in November and higher rates, partially offset by higher planned project-related expenses. Pipeline volumes increased 1%, terminal volumes decreased 2% year over year. Moving to our Natural Gas and NGL Services segment on slide nine, segment adjusted EBITDA decreased $10 million compared to 2024. The divestiture of non-core gathering and processing assets and lower NGL prices more than offset growth from recently acquired assets and higher volumes. After considering the $23 million impact of divesting non-core gathering and processing assets, we actually grew 2.1% year over year for the fourth quarter. Gathered volumes increased 2% year over year, primarily due to production growth in the Utica. Processing volumes decreased 1% year over year, as increased production in the Marcellus was more than offset by the sale of non-core assets. Processing volumes in the Utica have increased 4% year over year as producers continue to target this liquids-rich acreage. Marcellus processing utilization was 97% for the quarter, nearing capacity as Harmon Creek III is positioned to come online on a just-in-time basis later this year. Total fractionation volumes decreased 2% year over year as higher ethane recoveries in the Marcellus and Utica were more than offset by the sale of the Rockies assets. Within our natural gas and NGL business, recent freezing conditions across the country have impacted crude oil and natural gas production. We have seen minimal impact to our assets, though some producer customers have experienced frozen well pads and equipment, impacting volumes at a few of our facilities in the Permian. Moving to our fourth quarter financial highlights on slide 10, adjusted EBITDA of $1.8 billion increased 2% from the prior year, while distributable cash flow of $1.4 billion decreased 4% over the same time frame, due to interest expense associated with incremental debt used to finance recent acquisitions and growth capital. During the quarter, MPLX returned $1.2 billion to unitholders in distributions and unit repurchases. MPLX ended the quarter with a cash balance of $2.1 billion and plans to utilize this cash in alignment with our capital allocation framework. MPLX maintains a solid balance sheet. Looking forward, in March, MPLX has $1.5 billion of 1.75% senior notes maturing, which we intend to refinance. We expect leverage to fall over time as our acquisitions reach full run rate and our organic growth projects are placed into service. Now let me hand it back to Maryann for some concluding thoughts.
Maryann Mannen: Thanks, Carl. Through disciplined capital deployment, execution, and optimization of our integrated value chains, we have achieved a three-year adjusted EBITDA CAGR of 6.7%. The strong performance enabled us to increase our quarterly distribution by 12.5% for a consecutive year in 2025. We expect this level of distribution growth for two more years. MPLX enters 2026 in a position of strength. Over the past year, we made deliberate investments and portfolio decisions that sharpened our focus and expanded our capabilities. We deployed capital into some of the growing regions in the country, divested non-core assets, and built a more resilient competitive platform. In the second half of this year, we anticipate seeing contributions from the second Titan sour gas treatment plant, Harmon Creek III, the Bengal pipeline expansion, the Bay Runner pipeline, and the Blackcomb Pipeline. We expect growth in 2026 to exceed 2025, driven by increased throughput on existing assets and new assets being placed into service. As these assets ramp to full capacity, we anticipate they will also support mid-single-digit EBITDA growth in 2027 as well. We remain confident these investments will enhance our cash flows and enable us to continue returning meaningful capital to our shareholders. Now let me turn the call over to Kristina.
Kristina Kazarian: Thanks, Maryann. As we open the call for your questions and as a courtesy to all participants, we ask that you limit yourself to one question and a follow-up. If time permits, we will be prompt for additional questions. Operator, please open the line for questions.
Operator: Thank you. We will now begin the question and answer session. If you are using a speakerphone, you may need to pick up the handset first before pressing the numbers. Our first question comes from John Mackay with Goldman Sachs. Your line is open.
John Mackay: Hey, good morning, team. Thank you for the time. Maryann, I wanted to pull together a couple of points you mentioned. Can you talk a little bit more about your confidence in that mid-teens return target for the project backlog? Particularly in the context of maybe lower growth in 2025 versus the mid-single-digit overall target going forward. And maybe particularly anything you can share around contract protections? Etcetera. Thank you.
Maryann Mannen: Yes. Good morning, John. Thank you. And certainly, when we think about 2026 and frankly, when we think about any capital investment that we put to work, we continue to use our lens of strict capital discipline and ensure that we are delivering mid-teens returns and that those projects are also supportive of our mid-single-digit growth. As I mentioned, from a period or two ago, as we look at the growth going forward, it is unlikely that we are going to be able to be completely linear. We are putting capital to work that has EBITDA contribution that's coming online in later years. And then we are also adding in our organic M&A opportunities projects that come online in the short term in order to be able to deliver that as well. Let me give you a couple of examples of that. You think about BANGL, the incremental ownership comes online in 2026. Incremental EBITDA mentioned, Secretariat I ramping up through 2026. That will add incremental EBITDA again this year. We have got Bay Runner, as I mentioned, in Blackcomb in service in the fourth quarter contributing to that also. Moving on to the Marcellus, you have got Harmon Creek III also that will be online in the back half of the year. These are some significant projects, again, through that lens, mid-teens returns to support mid-single digits. So that gives us the confidence as we say that one year on year 25% to '26 we should see growth above what we saw in 2024 and 2025. We hope that you see that the 2026 capital outlook really signals compelling investment opportunities for us. Think the backdrop, particularly when you look at demand pool NGL nat gas is extremely supportive. And then frankly, when we look at 2026, exit rate for our sour gas project, we remain confident in our ability to deliver that EBITDA into 2027. And as I mentioned, Gulf Coast project on track for 2028 and beyond.
John Mackay: I appreciate all that detail. Thank you. Maybe drilling in a bit more, it sounds like you have had some early success on commercializing some of the Northwind kind of synergy projects with Secretariat II. You just frame up for us kind of where that process stands? Is there more you can do on capturing some of those volumes coming off that system? Thanks.
Maryann Mannen: Yes. Certainly, John. Thank you for the question. As you know, when we talk about the acquisition of Northwinders, we call it our Delaware Basin sour gas facility, we felt like it was a critical platform for future growth, particularly when you look at what we consider to be some of the best rock in the Permian and our ability to help producers with treating and processing that. We mentioned at that time that we thought when you looked at the processing contracts now, those had a much shorter duration versus the long-term average thirteen year on the treating side. But on the processing side, we said this could potentially be accelerating our growth as we were able to bring new assets online. To address those contract roll off on the processing side. I would also tell you that Secretariat II will also help us support our legacy volumes as well. So not only is it supportive of growth beyond the Northwinds platform, but also for our legacy growth. I am going to ask Greg to give you incremental color on the legacy side.
Gregory Floerke: John, yes, we are really excited about we continue to be very excited about the sour gas system that we acquired. Is if we had I mentioned before that it wraps around our existing legacy system. Planned and build it. Part of the Titan II expansion, which we are on track on time and budget to have complete late in the year, allows us to meet our expectations for run rate in 2027 is as Maryann mentioned. But it also provides an opportunity to connect this system into our legacy system. So along with the Titan II project and the compression expansions and the pipelines that we are building to support that uptick in volume. We are also building connecting lines, one on the north end, one from the Titan facility over actually to Secretariat and to our Tornado complex and then a middle line. So we will be able to start offloading when those lines are complete and as Titan capacity ramps up. But we are also we see very robust growth continuing in the legacy portion of our system, some of it on the edge of the sour, some in the sweet, but still really robust activity from the drillers. So we upsized Secretariat II, it will be our first 300 million cubic feet per day plant and partly to account for the additional growth we have from both systems.
John Mackay: Thanks for that. Appreciate it.
Operator: Thank you. Our next question comes from Manav Gupta with UBS. Your line is open.
Manav Gupta: Maryann, I just wanted to ask you, there is a little bit of bearish sentiment on LPG exports generally and fears of overcapacity. But, you know, in the last few days, you have had this India US deal and India is looking to buy a lot more energy from the US. And I think LPG exports could be a new growth opportunity in that direction. So if you could if you had time and if you could talk a little bit about the new opportunities that open for LPG exports, with this India US trade deal.
Maryann Mannen: Yeah. Good morning, Manav, and thank you, you are absolutely right. You know, one of the reasons why we can to look at this opportunity, putting capital to work. We see strong demand for NGL and nat gas and there is a pool there, obviously, from the growth anticipated from LNG. And as you mentioned, I think the announcement or the conversations yesterday really are further supportive of the positions that we have and have had really for the last two last several quarters as we think about some of the capital that we have put to work. We think market dynamics for global LPG demand remain very strong. There is no doubt about that. And again, as I mentioned, I think the announcement or the conversation yesterday hard to predict, right? Early days there, but it is certainly, I think, supportive. And then when we look at our assets, we are pretty convinced about their capabilities. When they come online, 2028-2029. We believe will be full as we have shared with you before. We think we have got a good position when we look at export given our dock, given the partnership that we have and given the potential there for the long term. So we feel very good about that obviously, as we continue to book capital to work in that space.
Manav Gupta: Perfect. My quick follow-up here is, look, when we look at organic growth capital, obviously, think you were at $2.4 billion for '26. You were close to $2 billion last year, but then you did deploy almost $3.03 and a half billion of growth capital through M&A. And I am trying to understand, would if there are right opportunities present themselves, would you be open to still bolt on M&A 2026? And the question I am trying to ask is, at the start of the call, you said dividend distribution growth can be 12% for the next couple of years. I am trying to understand with some good M&A, can that two years become three years or more, if you could help us understand that?
Maryann Mannen: Yes, certainly Manav and thank you for the question. As you know, in similar as we set out this time last year, we put forth our capital plan and that capital plan is very specific to the organic projects that we have ongoing. You would think about our Gulf Coast frac and terminal, the capital on the Delaware Basin sour gas, we have got the Marcellus expansion that I mentioned, Secretariat. But we continue to look for M&A opportunities. We look through them through the lens of strict capital discipline. We ensure that they meet mid-teens returns and also that they are strategically aligned with one, our nat gas and NGL wellhead to water strategy they fit that strategy. So when I talk about the 12.5% being for the next two years, that meets all of the financial criteria that we have shared. That does not mean we do not have an intention of increasing the distribution beyond that. And as you say, it will depend on what that growth is. So as we find those M&A opportunities, we have a balance sheet that is quite strong we believe. And we would absolutely consider incremental opportunities. And frankly, as you have seen us do in the past, some that are easiest for us and fairly immediately accretive would be our JVs. When we look at take BANGL as an example, there are opportunities that would exist for us to continue to build out our ownership with the JVs that we currently have as a part of our portfolio. Hope that helps.
Manav Gupta: Thank you so much.
Maryann Mannen: You are welcome.
Operator: Our next question comes from Theresa Chen with Barclays. Your line is open.
Theresa Chen: Hi, Maryann. Maybe taking the opposite side of the M&A question. Looking at your portfolio optimization which has been fairly consistent through the years, would you say you are at in terms of pruning assets that are less strategic across your portfolio to free up capital to pursue additional organic and tuck-in M&A growth?
Maryann Mannen: Yes. Good morning, Theresa. Thanks for the question. As you know, we continue to evaluate all of our assets. We say we want to ensure that we have the portfolio for today and the portfolio for the future. All of those basins today are cash flow positive. But we will always look through short term and long term and see whether or not there are owners of those assets similar as we think about what we just recently did with the Rockies. That have a different view on that growth profile. So that we can continue to invest in those opportunities in the Marcellus and in the Permian where we believe the most opportunity exists for us. So we will continue to do that, Theresa. Absolutely.
Theresa Chen: Understood. And given recent consolidation by some of the upstream community, how do these trends affect your growth outlook for your supply push assets and recontracting strategy over time?
Maryann Mannen: So I would tell you as we look at some of the recent announcements, certainly those customers have been and will continue to be an important part of our portfolio. Specifically when we look at recontracting. If you think about the one that was just announced yesterday. And again, it is an early read, but when we look through that in terms of the way that the transaction has been announced and it is structured, we do not see any immediate risk with contract renegotiation, etcetera, from a legal perspective. Absolutely no.
Theresa Chen: Thank you.
Operator: Welcome, Theresa. Thank you. Our next question comes from Keith Stanley with Wolfe Research. Your line is open.
Keith Stanley: Sorry to beat a dead horse on the growth rate, but wanted to clarify on 2026. You said it is faster growth than 2025. But would you say it is an above-average growth year in 2026 or just faster than '25? And relatedly, is that 2026 growth expectation inclusive of the headwind from the Rockies asset sale?
Maryann Mannen: So thank you for the question, Keith. Yes, it is inclusive of the headwind coming from the Rocky sale, absolutely. And my comment 24% to 25% growth is stronger than 24% to 25%. But I am not suggesting that it is completely outsized there. It is larger growth. Remember, we are starting from a $7 billion position. So growing that mid-single-digit, you know, is the range of $450 to $500 million depending on where you are in your mid-single-digit range. So it is 24 excuse me. 25 to 26 stronger than 24 to 25. I hope that helps, Keith.
Keith Stanley: It does. Second question, I wanted to ask on the FERC index change for the next five-year period. So it is now a PPI minus 0.6%, I think. Should we think of that as a headwind for your outlook for the liquids business? Or would you say that new inflation adjustment level was expected and already baked into your plans and outlook?
Shawn Lyon: Keith, this is Shawn. Thanks for the question. Although the FERC adder is negative, we did anticipate this and this is in our plan. So we do not expect it to impact our plan to grow our EBITDA mid-single digits. Let me show context also. If you just look at the COPAL segment that we are about 33% of the COPAL segment is tied to the FERC. And across all of MPLX, it is about 20%. So it gives you some context of how much that announcement by FERC and the effect with MPLX.
Operator: Thank you. Our next question comes from Elvira Scotto with RBC Capital Markets. Your line is open.
Elvira Scotto: Hey, good morning everyone. I was wondering if you can provide some additional commentary around the new growth projects in the Marcellus you are hearing from producer customers? And then how do you expect Harmon Creek III to ramp?
Maryann Mannen: Yes, good morning. Thank you. So when we talk about Marcellus, first of all, I mentioned we have got capital this year and that project will come on come in service in a few years, right? It is not an immediate contribution in 2026. Mid-teens returns clearly producer customers if you think about the way that we stay connected to our producer customers and just in time, a pretty important project for the long term. It is a compressor station, 30 miles of pipeline, well connections, debottlenecking, and so important as we think about providing that egress for our producer customers. I am going to give the pass it to Greg and have Greg tell you a little bit more about that project.
Gregory Floerke: We are really excited about the Harmon Creek III Project and also we are building a second full-size deethanizer as part of that project and some compression and pipe to help feed that. It is in our gathering system in Washington County, PA. If you look at the entire Marcellus, we were at 97% utilization this last quarter. So we are and that is a high utilization number, but you put it in context, sets close to 7 billion cubic feet a day that is going through that system. So it is our largest system. Nearly full. So it is a great story. When we need to expand and a producer wants to expand, right now, it typically means a new plant. Or at least major piping and compression to help try to fill whatever existing capacity is there. So we expect Harmon Creek III, which is tied into that system and has great residue takeaway and GL takeaway capability and the demand that is there. For that to take up that additional capacity will be will be ramped up and filled on our normal timeframe.
Elvira Scotto: Okay, thanks. And then just wanted to switch over to capital allocation. Can you maybe talk a little bit about any comments around leverage and distribution coverage, kind of expectations in '26 and '27? And then just as you have become a much bigger company with a much bigger EBITDA base, and you have a lot of kind of organic growth opportunity. How should we think about sort of CapEx moving forward?
Carl Hagedorn: Thank you. Appreciate that question. Let me start with the capital allocation. Excuse me. What I would tell you is when we think about capital allocation, our philosophy remains unchanged. So you think about the way we have lined that out historically, it has been first and foremost maintenance capital, then our distribution growth, then our growth capital, then our unit buybacks. So that last one always being the one that we would toggle. As we look forward to 2026 and 2027, even as we talked about, Maryann mentioned, 12.5% distributions over the couple of years, we model that out. We think about coverage. We do not see ourselves going on an annual basis below that comfort level of 1.3 times. We are obviously also very much watching our leverage and managing to a leverage number that I think we have historically said we are comfortable at that four point zero times. And as we look forward with our capital plans, as we sit today, we would not go above that four point times.
Elvira Scotto: Great. And then just on the kind of CapEx how should we think about CapEx kind of going forward, the organic?
Carl Hagedorn: Yes. It is a great question. And as we think about CapEx, we think about our growth, what we really have to as you said, the EBITDA number keeps getting larger. So as that number grows, the number of organic projects and or bolt-on M&A has to grow with that EBITDA number. If you continue to target a mid-teens return, right, we can do that math. We know that over time that number has to grow. So we are actively looking at that on a five-year really basis and beyond. And we are modeling that EBITDA in as we would see these projects come online.
Elvira Scotto: Okay. Thank you.
Operator: You are welcome. Thank you. At this time, I am showing no further questions.
Maryann Mannen: All right. Thank you for your interest in MPLX today. Should you have more questions, or would you like clarifications on topics discussed this morning, please contact us. Our team will be available to take your calls. Thank you for joining us today.
Operator: Thank you for your participation. Participants, you may disconnect at this time.